Operator: Good morning, and welcome to Preferred Apartment Communities First Quarter 2020 Earnings Conference Call. This conference call is being recorded.I would now like to introduce your host for today's call, Paul Cullen, Executive Vice President, Investor Relations.
Paul Cullen: Thank you for joining us this morning, and welcome to Preferred Apartment Communities first quarter 2020 earnings call. We hope each of you have had an opportunity to review our first quarter earnings report, which we released yesterday after the market closed. In a moment, I'll turn the call over to Joel Murphy, our Chief Executive Officer, to share some initial thoughts. And then John Isakson, our Chief Financial Officer, will share some additional details about financial metrics and capital markets. Then Joel will return to conclude our prepared remarks. Following Joel's remarks, we'll be pleased to answer any questions you may have. Also present with us this morning is Mike Cronin, our Chief Accounting Officer; and Jeff Sherman; Michael Aide; and Boone DuPree, the Business Leaders of our multifamily, grocery anchored retail, and office verticals.I'd like everyone to note that forward-looking statements may be made during our call. These statements are not guarantees of future performance, and involve various risks and uncertainties, and the actual results may differ materially. These risks and uncertainties include, but are not limited to, the impact of COVID-19 pandemic and our business operations and economic conditions in the markets in which we operate, our ability to mitigate the impacts arising from COVID-19, and the information about the second quarter 2020 rental collections in light of COVID-19. For our discussion of these risks and uncertainties, you should review the forward-looking statements disclosure in yesterday's earnings press release, as well as our SEC filings. Our press release and other SEC filings can be found on our website at pacapts.com. The press release also includes our supplemental financial data report for the first quarter 2020 with definitions and reconciliations of non-GAAP financial measures and other terms that may be used in today's discussion, and the reasons management use these non-GAAP measures. We encourage you to refer to this information during the review of our operating results and financial performance.Along with our earnings press release, we also furnished an investor presentation regarding COVID-19 business updates, and that can be found on our website at pacapts.com under the investor tab. Unless we otherwise indicate, all per share results that we discuss this morning are based on the basic weighted average shares of common stock and Class A partnership units outstanding for the period.I would now like to turn the call over to Joel Murphy. Joel, go ahead.
Joel Murphy: Thank you, Paul. Good morning, everyone, and thank you for joining our call. Since we last spoke in February, the world, our country, and our markets have changed dramatically due to COVID-19. I hope everyone on this call and their families are staying safe and healthy, as we all work together to navigate this challenging environment. At PAC, we are focused on the continued health and safety of our associates, our residents, and our tenants. We effectively implemented our business continuity plans, including full work from home policies. Our business has remained fully functional during this time, and I'm extremely proud of our team's hard work and dedication. We are also proud to be so closely associated with our grocery store partners, whose companies' employees were and are there for our communities, providing access to groceries and other essential items.While the depth, breadth, and long-term impacts of the pandemic remain uncertainty, the impacts on society and health in general have obviously been significant, and real estate assets and markets have not been immune. However, what has not changed is our dedication to the mission of creating long-term stockholder value, the locations of our 107 owned assets in 13 states, and our diversified strategy, run by experienced and specialized teams. Our recent operational results demonstrate that commitment, the strength of our markets, and the value of our diversified operating platform. April collections were somewhat less impacted than we initially thought across all of our operating verticals. We disclosed some April month to date collections in our April 24 COVID-19 business update, and now updated through the end of April, we've received 97% of our multifamily rents, 96% of our office rents, just shy of 80% of our grocery anchored shopping center rents, and 97% of our student housing rents. In aggregate, we collected over 92% of our total revenues for April across all of our [indiscernible]. We are running at approximately the same pace of collections in May for each vertical as of the same date in April. But it is too early to tell how this will end up for May and on in June.More than 30 million new jobless claims in aggregate since this pandemic began and shelter in place orders that have kept office workers and retail customers at home, we are encouraged by these collection results, which highlight the resiliency of our portfolio and its composition. That said, we are keenly aware of the uncertainties posed by this pandemic and the macro economic impacts in scope and in duration to our economy and to our markets. Accordingly, our board has elected to right size our second quarter common dividend to $0.175 per share. We believe this was a prudent action, based on uncertainties that lie ahead, and our focus on our balance sheet, our liquidity, and our commitment to long-term stockholder value.When we set out to construct the company's portfolios, we built out each of our strategies independently, with focused management teams that had deep expertise in each specific vertical. In times of stress and volatility, such as today, that experience and portfolio composition serves us well. Let me just briefly recap for you some of the long-term benefits of this diversified portfolio. First, multi-housing comprises approximately 58% of our revenues. We own Class A apartments, newly constructed, with an average age of less than six years. Our Sunbelt focus means we continue to benefit from continued migration to our markets, and our high credit quality resident pool has so far been resilient, based on our rent collections today. For additional details on our multifamily portfolio, please refer to Page 9 and Page 10 of our business update, furnished in connection with our press release.Our student housing assets have similarly held steady. Fall pre-leasing remains solid and generally on pace with where we were as of this same week last year. We're also aware that there is inherent risk in this segment, in the event schools in our markets choose not to reopen for fall classes. Although, at this point, six of our eight universities have stated they plan to reopen for in-person classes in the fall. While our intention remains to exit this business to further focus our overall portfolio and to use the proceeds from any such disposition prudently in connection with our balance sheet, we continue to lease and operate these high-quality assets. We believe they're an attractive portfolio asset class over the long term. For additional details on our student housing portfolio, please refer to Page 11 and Page 12 of our business update.Next, grocery anchored retail comprises approximately 21% of our revenues. This is a 100% pure play grocery anchored strategy. 76% of those centers are anchored by Publix, Kroger, and Harris Teeter, top performers across all of our markets. 52% of our portfolio is considered essential, and all of our centers have remained open through the pandemic. Please refer to Page 13 and Page 14 of our business update for specifics on our grocery anchored retail portfolio and composition by tenant type.Finally, office comprises approximately 21% of our revenues. This segment of our business affords stability. We are 97% leased across nearly 3.2 million square feet, and our contractual leases are with predominantly well capitalized, large corporate users, and carry more than seven years of weighted average term remaining. Please refer to Page 15 and Page 16 of our business update for additional details on our office portfolio composition and tenant base.These strategies, while built independently, share many characteristics, including preferred markets, submarkets, demographics, and employment concentrations. These characteristics led us to generally invest in Sunbelt markets with broad economic drivers, diverse employment bases, high educational attainment, and above average household incomes. Our unifying Sunbelt focus means we continue to benefit from positive net migration trends. From 2005 to 2018, seven of the top 10 states for net migration were located in the Sunbelt, including the top six. And we expect this trend to sustain, if not accelerate, over the long term. Additional details on our markets are shown on Page 5 of our business update.We believe that our product specific and collected investment theses have held up well very early in this downturn. As unemployment has hit hourly workers harder than salaried employees, small businesses have suffered more than larger, and non-essential retail, both large and small, has been particularly vulnerable, while grocery anchored and essential retail has held up relatively well. That said, we are truly in unprecedented times. The scope and duration of the economic downturn remains uncertain. We will be vigilant as events change, and be prudent in our actions. We are focused on both the present and the future for our stockholders, and we believe that continued access to liquidity is the best course of action at this time.Despite the primary focus on the current climate and interim second quarter performance and activities, first quarter was a solid quarter for us in terms of operating performance across all of our platforms. Most notable was our first quarter, quarter-over-quarter 4.3% same store NOI growth in our core multifamily business. This same store pool now comprises 8,694 units, which is more than 80% of our multifamily units and revenue as of the end of the first quarter.As previously disclosed, we completed the closing of our internalization transaction on January 31, where the management functions of Preferred Apartment Advisors and NMP Advisors were brought inside PAC. Significant benefits of the internalization have been notable in the alignment of the management team and our board, and our collaborative, short and long-term response to COVID-19. This was always a transaction that needed to happen to unlock the company's long-term potential. We discussed this in our last quarter call in late February, and with internalization complete, we are set to focus on PAC's broader capital strategy. We will share our plans and strategies with you and the market as they take shape, with a renewed and fresh perspective on our capital stack and on our balance sheet. Certainly, the pandemic has impacted the timing, focus, and deployment of any capital strategy in the near future, and we remain focused on both near-term and long-term goals.Finally, we will continue to focus on achieving excellence with particular attention on our company-wide operating performance, our governance, the training and development of our associates, our culture, our ESG initiatives, and our philanthropy of giving back to the communities in which we operate. These attributes are now more important than ever.Now, let me turn the call over to John Isakson. John?
John Isakson: Thank you, Joel. First off, I echo Joel's sentiments for the safety and health of everyone on this call. All my best to you and your families.For the first quarter of 2020, PAC generated revenues of approximately $131 million, FFO of negative $3.42 a share, FFO net of internalization costs $0.31 a share, core FFO of $0.38 a share, and AFFO of $0.47 a share. You will note our revenues are up over 17% compared to the first quarter of 2019, owing to the continued growth in all of our property verticals. You will also note that FFO results are skewed dramatically due to the treatment of internalization expenses that closed in January. The adjustment for internalization alone encompasses over 98% of the difference between our FFO and our core FFO number. We have noted in the past the variability in FFO and AFFO, due to a variety of factors in our business.In an effort to produce a metric that will adjust for those variations and provide a more stable measure of the company's operating results, we have decided to move to core FOO as the main measure of the company's performance. While we will continue to report FFO and AFFO, and discuss those results, our focus will be on core FFO and the implications of its results for current and future performance.Our AFFO number continues to be impacted by the results of our real estate investment loan program, which we have mentioned previously. As these loans are repaid, our accrued interest gets paid and recognized in our AFFO number, making it lumpy from quarter to quarter. For the quarter, we had three real estate investment loans payoff, which contributed to us receiving more than $13 million in AFFO benefit this quarter in the form of accrued interest and purchase option termination payments. We currently have approximately $20 million of accrued interest from 24 real estate investment loans that are booked as a receivable on our financial statements.The loan portfolio continues to add accrued interest every quarter from both current loans and new loans that are added. The payoffs on these loans are difficult to predict, due to the timing of the sales of these assets, whether to PAC or third parties. The balance in our investment loan program stands at just over $373 million in commitments, with over $310 million drawn at quarter's end. Our mezzanine loan book, which was once to 25% of our total assets, today is less than 10%.As discussed in our April 24 releases, we withdrew our full-year 2020 guidance due to the economic and social disruption from the COVID-19 pandemic. During the quarter, we took steps to provide liquidity in a time of unprecedented uncertainty. We drew down our corporate line of credit to approximately $192 million. Beyond the current capacity of $200 million in our line, we have an accordion for an additional $100 million. The company is currently pursuing efforts that should raise an additional $125 million to $200 million outside of this line capacity. To accomplish this, the company can utilize a pool of unencumbered assets whose value is an excess of $200 million for a liquidity facility. Beyond the unencumbered pool, the company has assets whose near-term maturities provide an opportunity for early refinancing or asset sales.These early re-financings have the dual benefit of removing maturity risk beyond 2021 and locking up debt at near historic low rates. We feel very comfortable with the schedule of our property level debt maturities. Our ratio of debt to undepreciated book is 53%, and we have no debt maturities in 2020, and less than 20% of our portfolio has maturities before 2024. Our previously mentioned refinancing efforts will further reduce these near-term maturities. Please refer to the graph on Page 4 of our business update, which clearly delineates these maturities.In addition to debt measures, we continue to raise funds to the preferred stock program. And while we've seen a decline in the volume of the raise, we are comfortable with its pace. In addition to the raise, we have seen an increase in the pace of redemptions. We have found these redemptions manageable to date, and anticipate they will be in the future. In total, these circumstances provide us with comfort that, when combined with the company's operations, APTS should continue to have ample liquidity for the foreseeable future. In addition to raising capital in both the debt and equity markets, we have significantly curtailed our pre-COVID plans on capital investment for new acquisitions.As we look ahead, we will be selective and focused on external opportunities that we believe create the most long-term value. We are already seeing some of these kinds of opportunities with renewed interest from multifamily developers in our real estate investment loan program, which has consistently been one of our most attractive capital investment options.You may have seen in our press releases that we acquired two multifamily communities in Florida over the past five weeks. Both of these assets were squarely inside our core multifamily strategy. But also note we committed to these acquisitions pre-COVID-19 with either firm earnest money, or the acquisition was pursuant to negotiated rights in our real estate investment loan documents, and both were acquired with sub 3% long-term property level debt that is not available in the marketplace today. Both of these assets represent accretive long-term investments for the company.While the economic fallout of the pandemic will likely impact properties we have invested in through our mezzanine loan program, we expect that such issues will be more about timing, and less about overall performance. We could see longer construction schedules, longer lease up timeframes, and lower rental rates for a period of time. However, based on the underwriting of our loans and our current view on the market, we believe this portfolio will hold up well over time and continue to be accretive to our results. In summary, the company continues to be well positioned financially and operationally to navigate the impact of the current crisis. Longer term, we want to be nimble enough to selectively take advantage of opportunities when they present themselves.To that end, as Joel referenced previously, our board has made the decision to right size our common dividend for the second quarter to $0.175 a share. We believe this is an appropriate dividend moving forward, and believe it to be a prudent and measured step in light of ongoing volatility and uncertainty in the market.Again, we believe we can create more stockholder value through improvement and changes in our balance sheet. We look forward to discussing these with you as they evolve. Further, we have put a pause on all non-recurring capital expenditures other than any emergency life safety items or capital related to the leasing of space in our grocery-anchored and office verticals.With that being said, I'd like to turn the call back over to Joel for some further thoughts, Joel.
Joel Murphy: Thank you, John. In addition to the first quarter 4.3% same-store NOI growth in multifamily, we do have other notable trends. Example of that is that our grocery sales increased by an impressive 6% year-over-year in 2019, pre-COVID. Certainly, we expect this trend to continue well into 2020 given the significant increase in sales that were driven by the COVID-19 lockdown related shopping activity. While there is uncertainty as to when some parts of the country restrictions will be relaxed or lifted, 87% of our retail tenant base is located in states that are already reopening.While certainly many of our small shop tenants have been impacted, we are working out deferral arrangements on a case-by-case basis, as well as helping them apply for government assistance. We've been using this as an opportunity to keep an open and productive dialogue with our tenants to create holistic, mutually beneficial solutions. Estates across the Sunbelt look to reopen their economies. We expect that our markets will even be more attractive longer term in a post-COVID environment.To recap, we are a real estate company of significant scale that has operating teams and assets operating well in high growth, Sunbelt markets. Now, with an optimized organizational structure in place, we look forward to taking prudent steps with regards to our liquidity, capital structure, balance sheet and our growth. As we stated in our annual stockholders' letter in our annual report, what got us here won't get us there. Those words and our belief were written and in place pre-COVID but they are even more true now.I will now turn the call back over to Paul.
Paul Cullen: Thanks, Joe. I'd now like to ask our operator to open up the floor for any questions you may have. Operator, go ahead.
Operator: [Operator Instructions] Our first question today comes from Michael Lewis with SunTrust.
Michael Lewis: Thank you. My first question, I understand that this isn't to fix up the dividends. The yield on the common is still pretty high but you think part of that maybe allows you to issue common shares? Do you think if you were around here, would that be particularly creative or dilutive to your NAV?
Joel Murphy: Michael, first thank you for the question. Look, everything that goes into dividend policy and everything is a function of all the things going on at a company at that time. But certainly, just if somebody did the math, obviously, we're not signaling anything about issuance, but clearly something that would have a lower yield would be more attractive to us as an issuer as opposed to a higher yield. But really, this directional thing that we did was difficult and a prudent decision by the board. It does reflect the uncertainty of the times. But as we said in our prepared remarks, we took a number of other steps to preserve liquidity, and one of which was the change in the dividend which took into account really everything pandemic and just where the company is as it sits today.
Michael Lewis: Okay, that leads me into a question about liquidity. It's kind of a two-parter. You talked about some of the steps you're taking. I wanted to ask about, I think it was John that mentioned $200 million of potential unencumbered asset sales. Could you comment at all on what kinds of assets you might look to sell what property types? Does that number include the student housing portfolio that you may still look to sell?
John Isakson: Mike, I'll answer that. What I was quoting the unencumbered pool that I was talking about the $200 million, that's the value of those assets that we would finance against. We also have some additional near term maturities, that we're looking at refinancing or selling. Some of those assets or student assets, but it is not completely inclusive of student housing. If we were to sell all of the student housing assets that would be properties in addition to those that I mentioned. The student housing sale was not factored into my comments.
Joel Murphy: Mike, let me add on to that a little bit also. For John is that really this is as we evolve, especially so in this internalized structure, capital recycling is a part of our strategy. The assets that would be teed up here, whether they be multifamily, whether it be retail, whether it be student housing, the office assets are earlier in their generation of life with the company. We're always looking through that and many of those. That's one of the things we love about the young vantage of our multifamily would be an asset that we might say, it's time. We've had our run with this, we like it and it would just be natural apart we do it, especially as it rolls up into near term maturities. So it's interesting that really that strategy while beneficial and something that we will be doing in this world and environment we have now is something that we plan to be doing as a matter of course, anyway.
John Isakson: We would point out that we've done that in the past and we sold a significant number of assets over the last three or four years and harvested a good bit of capital and reinvested it pretty creatively.
Michael Lewis: Great, thanks. You took a loan, credit charge this quarter. Can you talk about maybe the assumptions that that went into that calc [ph] on the charge and if there's any other color regarding how you think about the safety of ultimately continuing to receive those interest in principal and accrued interest payments? When do you given it all the new stress in the broader economy?
John Isakson: Sure. Michael, I think the single most important thing to point out is that the accounting structure for reserves changed in Q1 and now we have the CECL environment. So we created a model and booked a beginning balance, if you will, in our CECL reserve. At the end of the quarter, we added to that reserve based on the model that we created to monitor those loans and assets. You're going to see that CECL balance. This is another reason why we're going to core FFO. You're going to see that CECL balance change every quarter as loans pay off and those reserves get released, as new loans get added and reserves get increased. Reserves are going to get increased and decreased every quarter. It is not necessarily owing particularly to the change in the environment, although that did have an impact on our reserves but I think the structure of CECL and the fact that it got implemented in Q1 is just as important.
Michael Lewis: Okay, thanks. Then, just lastly for me, I wanted to ask about the co-founder, Len Silverstein resigned and I think you may have had one other board member resign during the quarter. I don't know if there's any color or comments you can make around why Len decided to leave the company now.
Joel Murphy: Listen, clearly as far as Lenny, co-founder and all that everything that was related to that was put out in our May-- I think is March 3, press release. On that, Lenny elected not to continue on as a member of the board. As far as the other ones, the one that we mentioned another member resigned that actually is not technically correct. This was John Wiens. As we noted, he actually agreed to not stand for reelection, as did Johnny Gresham, who was another longtime director of the company. John Wiens was connected to an employment situation. This was disclosed in our SEC filings, where he had a conflict that his employer did not allow him to sit on the board of a public company. We hated to lose John as a board member but we've respected that.But I think probably the biggest piece of that, Michael is that companies need to go through evolution of their boards, and the fact that we have a turnover now of three board members all for different reasons, and then elected terrific John Cannon, a terrific new director with deep multifamily experience, particularly in the debt and financing markets of multifamily has really made our board stronger.
Michael Lewis: Thanks for taking my questions.
Operator: Our next question comes from Gaurav Mehta with National Securities.
Gaurav Mehta: Thanks. Good morning. First question, I was hoping that you would provide some more color on your capital reserve activity on the prepared remarks. You said you've seen a decline in the volume and increase in redemptions. So maybe you can talk about what kind of run rate you expecting to see this year?
John Isakson: Gaurav, it's still too early to tell. There's some crosscurrents here. As you're aware, we sold out the previous offering and started a new offering in January and when you start a new offering you have to go through the process of resigning all of the selling agreements that you had previously. So you can't just transfer over and start back up with the same group. We have significantly fewer selling agreements today than we had at the end of last year and we're continuing to sign those agreements and we're continuing to go through the due diligence process, as we have several times before, we certainly know how this works. So at this point, it's hard to tell if our raise is being more affected by the pace of selling agreements or by investor sentiment. I think we'll have a little bit better idea of that as we get a little further into the year. The same goes for redemptions. The pace of redemptions has picked up, but also the balance of our outstanding shares of preferred stock has picked up.We have 45 or 60 days here that we've been in this pandemic and I think it's too early to say are we getting more redemptions because people are going to cash or are we getting more redemptions because people have been with us for a while and it's just sort of law of large numbers. You're just going to get more redemptions because you have more shareholders. I think we'll have better visibility as we get later into the year. Today, we're very comfortable with both the pace of the raise and the pace of redemptions and our ability to manage that. We'll give you an update as we get further into the year.
Gaurav Mehta: Okay, second question, maybe can you provide some color on what you're seeing in the transaction market and your ability to redeploy them money that you may be raising?
Joel Murphy: I'll take that, Gaurav. Thanks for your question. As we said, we're going to be really measured in this moment. John described we did acquire two assets, terrific assets. They were core to our strategy, but those are committed to pre-COVID. Actually had attached to it. We know that one of the assets really well it was because we were the mezz lender on it. So we knew everything about it for the last three years. As important in addition, knowing the assets, we had pre-COVID sub 3% long term debt, which clearly weren't available in the marketplace today. So that is then and now is now. We're going to be very measured on how we look at external growth opportunities. It's going to have to be the right thing for us to do. There are assets that are out there. I think the world generally is out in a little moment of price discovery but so far, it's interesting, not related to us but a little bit apocryphally there. Some deals that we've seen that have been out in the grocery-anchored sector that have traded during this to private buyers. The cap rates were virtually the same as they would have been pre-COVID, maybe a little elevated, but way below what even the broker was giving as initial guidance of it.That said, we're going to be very selective with our capital on whether-- because there's choices for that capital. We can involve in an external growth. We can deploy it against our balance sheet in a variety of different-- in different ways. But the one that I would probably say, that we'll see and John referenced it is our mezzanine loan program. The reason is, what's interesting about that, it's in our core multifamily business. It is not a significant amount of capital relative to buying a full-on asset. It's spread out over time and then the ultimate payoff of it is going to be moving across the next 25, 36, 38 months after the development is complete, at which time we can acquire it like we've done for many buyers, or who could just collect our mezzanine loan interest over time. We have seen the first good signs of movement in that market to our favor. Were deals that probably pre-COVID as far as return to us in total numbers. We probably haven't seen that higher return available to us. Maybe over the last two years, probably two to three years.So, what's happening is that market has moved and we're also seeing on a risk adjusted basis perhaps that it's even better. Because in addition for us getting higher returns, the developers are willing to put more equity ahead of us.
Gaurav Mehta: Okay. Lastly, I want to follow up on your comments on selling some of the assets. Are you expecting to sell assets this year and if so, maybe talk about the timing and what kind of valuation would you get for those assets?
John Isakson: Gaurav, we're not in a position where we have to sell assets. We're only going to sell them if it's a smart decision, and if the market is going to generate a value that we're attracted to. I think it's too early to tell whether the market is going to be there or not or when it's going to be there. We're continuing to market that to monitor that market. As Joel mentioned, we've seen some early signs that maybe the transaction market is going to be a little healthier than people might have feared 30, 60 days ago, but I think it's still a little ways before we really know.
Gaurav Mehta: Okay, thank you. That's all I had.
Operator: This concludes our question and answer session. I would like to hand the call back over to Joel Murphy for any closing remarks.
Joel Murphy: Well, listen, thank you very much. We appreciate the time and effort that you've done to listen to our call and to review our materials. We appreciate the questions asked. We value you as people that are interested in our company. I know we're very interested and we're very focused but we also know that this is a very challenging time for people, their families, their workplaces. We look forward to that. We look forward to further conversation with you next quarter.
Operator: The conference has now concluded thank you for attending today's presentation. You may now disconnect.